Operator: Good day, and welcome to the Ferrellgas L.P. Fiscal 2022 Q4 Earnings Call. Today's conference is being recorded. At this time, I'd like to turn the conference over to your host, Mr. James Ferrell. Please go ahead, sir. 
James Ferrell: Thanks, Marjorie. Good morning, everyone. This is Jim Ferrell, CEO of Ferrellgas. Thanks for all of you who have called in today to listen to us talk about our fourth quarter and fiscal '22 year-end. 
 We are very proud of our accounting department, external disclosure people and our outside auditors have got this year closed 2 weeks earlier than usual. Hence, why the date was moved forward, the date of this call. What we're really proud of, however, are all of our 4,500 employee owners who make this company work. They are scattered out throughout the country, yet pulled together into one team by regular Zoom sessions. The trick here has been to have technology that allows all this to happen. But even more than that, a culture that brings us all together to produce the results you are about to hear about. 
 While COVID appears to be behind us, inflation has hit hard this year, but the Fed seems to be slowing down a strong economy. We'll see how all that works out. We are glad we are in a business that sells a product people need. Propane has also long been a designated as green fuel. So it is not directly under attack by those trying to eliminate the use of fossil fuels. In fact, we may even become a beneficiary of what those misguided souls are promoting. 
 As you may know, we still have a search underway for a CFO using a top-rated firm. It's a nationwide search we hope to close out before long. Today, we have our strong controller, Wendel Parks reporting on our financial results. Afterwards, you will hear from our COO, Chief Operating Officer, Tamria Zertuche, who is one of the finest leaders I have ever met. She will explain how we create such great numbers. 
 Now I'm going to turn it over to Wendel. 
Wendel Parks: Thank you, Jim, and welcome, everyone, to our fourth quarter fiscal year 2022 earnings call. Thanks again for joining us. I'd like to remind all of you that some statements made during this call may be considered forward-looking, and the various risks, uncertainties and other factors could cause actual performance to differ materially from anticipated performance. These factors are discussed in our Form 10-K filed on September 30, 2022, and other documents filed from time to time with the Securities and Exchange Commission. Additionally, we note that the purpose of this call is to discuss the results of operations for the fourth fiscal quarter and full fiscal year ended July 31, 2022. 
 Now on to our results. Revenues increased $52.4 million or 16% for the fourth quarter, while 2022 revenues increased $360.2 million or 21%. Cost of sales had unfavorable increases of $31.7 million or 18% for the fourth quarter and $291.8 million or 33% for 2022. These increases were primarily a result of inflationary costs for material and other commodities, such as steel used in tanks. Despite these increases, gross profit was favorable with increases of $20.7 million and $68.4 million or 13% and 8% higher for fourth quarter in 2022, respectively. Operating income per gallon was $0.04 higher for both periods compared to prior year periods. 
 Warmer weather trends of 6.7% and 5.1% for the fourth quarter and 2022, respectively, drove the 3% decline in gallons sold for both periods. Our initiatives, including efficiencies and delivery of gallons and logistics management helped offset these negative trends as margins per gallon increased by $0.18 or 17% higher for the fourth quarter and $0.12 or 12% higher for 2022. 
 For the fourth quarter, the company reported a net loss attributable to Ferrellgas Partners, L.P. of $19.4 million compared to a net loss of $18.8 million in the prior year period. For 2022, the company reported net earnings attributable to Ferrellgas Partners of $148 million compared to a net loss of $68.4 million in the prior year period. Adjusted EBITDA, a non-GAAP measure, increased by $10 million or 42% to $34.2 million in the fourth quarter compared to $24.1 million in the prior year period. 
 Adjusted EBITDA increased by $22 million or 7% to $340.1 million in 2022 compared to $318.1 million in the prior year period. Adjusted EBITDA was favorably impacted by increases of $5 million and $28.8 million in operating income during the fourth quarter in 2022, respectively. We also want to note that the company paid $49.9 million distributions to holders of record of the Class B Units in both the first and fourth fiscal quarters of 2022. Aggregate distribution of 2 Class B Unitholders of approximately $100 million for 2022 was made possible by the continued strong performance of the company. 
 I will now turn it over to Tamria to review our operational and company highlights. 
Tamria Zertuche: Thank you, Wendel. You said it best there, the strong continued performance of our company. As a technology-enabled logistics company, Ferrellgas, we continue to benefit from our nationwide footprint and really our relentless focus on continuous improvement. Our emphasis on leadership development, excellence and operational expense management and the implementation of logistics fundamentals, they continue to increase our efficiency and profitability that you heard in those numbers that Wendel presented. Management of miles and minutes, it is the lifeblood of every logistics company and no different for us. We have excelled at leveraging relationships to mitigate risk. We are very proud as well of our favorable credit position over prior year period, which continues to position us well with suppliers. 
 Over 900 employees this past year received the Ferrellgas Flame Award, it's the top award in our company, for exemplary performance in the areas of safety, customer service, innovation and leadership. Additionally, over 270 internal employees were promoted to key roles in field operations and corporate departments. 
 People matter. Our almost 4,500 employees work each day to find ways to improve and to grow. This benefits not only themselves, but their team members and our customers. Our learning platform, which is open to all employees, it's helped to create this opportunity. Additionally, we graduated 31 management development candidates this year into our field positions. We are very excited about that. We joined the National Propane Gas Association this year, a trade association that represents about 2,400 companies in the U.S. propane industry. One of the nations -- as one of the nation's leading providers of propane, our company plans to partner with the NPGA at the national and state levels. 
 As Jim said, we're promoting the awareness of the green, accessible, affordableness of propane. Ferrellgas' officers, where we now serve on both the Executive Committee and the Board of Directors for the NPGA, we plan to remain extremely active in this industry and now also with the NPGA. 
 In addition to our previously announced home delivery services in about 17 other locations across the country, Blue Rhino expanded into the Phoenix area. In conjunction with our mission to Fuel Life Simply, the home delivery program, it allows our customers to avoid that extra step and choose to have a clean, fresh, leak-tested Blue Rhino tank delivered to their doorstep. 
 In our continued collaboration with Operation BBQ Relief, the charitable organization providing hot meals to first responders and communities impacted by natural disasters, Blue Rhino introduced a limited edition Operation BBQ Relief-themed tank sleeves to highlight and really honor the work done by this organization throughout the country. I mean a good example of this you see on the news today and the great work that Operation BBQ Relief and Ferrellgas are doing even right now. 
 I will turn this back over to Jim, who is going to speak about some questions that were submitted through our Investor Relations mailbox. Jim? 
James Ferrell: Thanks, Tamria. Actually, we -- I think we've answered them during the context of my comments. So I don't think we have anything further, and we're not taking live questions in this session. 
 So thank you, Wendel. Thanks, and -- but really, thanks to all of you that have listened, and we're going to continue to grow and expand our business, perform financially and to participate in the consolidation of the industry. 
 Thanks again for being with us today. Back to you, Marjorie. 
Operator: Thank you. And that does conclude today's conference. We appreciate your participation. Have a wonderful day.